Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time I would like to welcome everyone to the Allied Properties First Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions] I'd now like to turn the conference over to Cecilia Williams, President and CEO. Please go ahead.
Cecilia Williams: Thanks, Regina, and good morning, everyone. Welcome to our Q1 conference call. I'll discuss highlights briefly, Nan, will highlight our strong financial position and J.P. will outline our high leasing tour activity and provide a summary by urban market. Then we're pleased to answer questions. We may in the course of this conference call make forward-looking statements about future events or future performance. These statements by their nature are subject to risks and uncertainties that may cause actual events or results to differ materially including those risks described under the heading Risks and Uncertainties in our 2023 annual report and our most recent quarterly report. Material assumptions underpinning any forward-looking statements we make include those described under forward-looking statements in our most recent quarterly report. I'll put our Q1 highlights in the context of leasing and portfolio optimization. First, leasing. Strong demand continues. I'm encouraged by the high level of tour activity across our portfolio. I'm also encouraged by the ongoing productivity of our portfolio and that renewals were at healthy spreads to in-place rents. It's worth noting that most of these spreads are on rates established at the height of the market in 2018 and 2019. I believe we're at an inflection point and leasing momentum will continue through 2024. Our high user engagement which manifests through the critical Net Promoter Score supports our leasing efforts. On to portfolio optimization, development upgrade and capital reallocation. Development and upgrade activity is one way we've optimized the portfolio over the past decade. A quick update on this. At 1001 Robert-Bourassa, 80% of the transformation at grade is complete and open to the public. It's unique space like no other in the city of Montreal. The work to transform specific floors and fulfill leasing requirements for completed deals is ongoing. The second floor in its entirety and space on the 21st floor will be delivered to two users in June. The interior lobby and exterior of the building will be completed in July and August. At 19 Duncan in Toronto, touring for the rental residential fleet has commenced and move-ins are expected later this summer. At KING Toronto, the 12th level was completed in April and glazing will begin in June. The 16-level structure will be completed by the end of 2025 when fixturing and residential possession will commence. Two units were sold in April at pricing in line with prior estimates. We're very excited to complete this part of King West Village. At M4 in Vancouver, the concrete structure has been topped off and Animal Logic will commence occupancy late this year. Another way we've optimized the portfolio is through capital reallocation. We're effectively trading lower quality assets for higher quality assets. What we've achieved so far this year is a great example of this. We're accessing capital from lower yielding, less strategic assets. Specifically, this quarter, we've identified three assets for disposition in Montreal, totaling $77 million of IFRS value about one-third of our target $200 million. The expressions of interest have exceeded our expectations over the past few weeks, so we're confident that we can hit our target. We're investing that capital and three higher caliber more strategic assets. The first being the rental residential component of Telus Sky. The second being a majority ownership position in one of the most distinctive assets in the country, 400 West Georgia in Vancouver. And third, an increased ownership position in high-quality rental residential and distinctive workspace in 19 Duncan in Toronto. Through the Telus Sky and 19 Duncan investments, we've also established scale of our urban rental residential portfolio. This is an important complement to our urban office portfolio, playing a similar role to the retail component of our portfolio. The residential density will not only support the retail and commercial components but also add to the ecosystem. Our urban centers thrive when the concentration of people have access to everything they need in a tight radius. We have the density potential and the operating capability to create our own mixed-use neighborhoods to create our own demand. We've now recommenced this activity and we have decades of opportunity ahead of us. Focusing on portfolio optimization doesn't make us indifferent to short-term metrics, but we're intensely focused on the long-term implications of what we do. Portfolio optimization will increase the productivity of our urban portfolio allowing us to improve our already strong financial position and support our distribution while growing cash flow per unit over the medium term. This is what investors expect and want from commercial real estate. Nan will now outline our position of financial strength, which will enable us to execute our strategy.
Nan Mahalingam: Thank you, Cecilia. Good morning, everyone. The first quarter of 2024 was in line with our expectations. Our funds from operations per unit for the quarter, was $0.578, which was 0.3% lower than the comparable quarter. Our adjusted funds from operations per unit for the quarter, was $0.537, which was 0.8% higher than the comparable quarter. Same asset NOI of the total portfolio increased by 2.9% over the comparable quarter, while the same asset NOI of the rental portfolio decreased by 2%. On April 1, we closed on the acquisition of 400 West Georgia in Vancouver and increased our ownership interest in 19 Duncan in Toronto. In doing so, we traded non-cash interest income for cash operating income from high-quality assets, which is exactly what we want as owner operators. While these acquisitions will put temporary upward pressure on our debt metrics in the near term, proceeds from our disposition activity will offset this pressure as they will be allocated to paying down debt. Our planned disposition activity is progressing well with targeted proceeds of up to $200 million of IFRS value to be realized. At the end of the first quarter, we have more than $730 million in available liquidity. And we are fully committed to maintaining a strong balance sheet and retaining our investment-grade credit rating. I'll now pass the call to J.P. Thank you.
J.P. Mackay: Thanks, Nan. We remain encouraged by the level of leasing activity across our portfolio even with longer leasing time lines. In Q1, we completed more leasing transactions than any quarter in 2023 and the number of leasing transactions was up 32% compared to the prior year. We are also encouraged by the number of existing users in our portfolio requiring more space. 18% of new leasing activity in the quarter represented expansions and the amount of expansion space leased in the quarter was greater than the total amount of expansion space leased in all of 2023. Tour activity continues to be strong and exceeded our expectations for Q1. We observed a 10% increase in tours in the quarter compared to Q4 last year and a 23% increase compared to Q1 last year. Industries represented by touring organizations continue to be technology, professional services, education and medical uses. The increase in tour activity is particularly encouraging, considering over the past few years, we introduced the ability for prospective users to tour our space virtually. As a result, by the time an organization conducts a physical tour of our portfolio, they are already familiar with the space resulting in enhanced quality of tour activity compared to what we observed previously. As of today, we have more than 1.05 million square feet of leasing activity under negotiation or at the prospect stage. I'll now provide a brief overview of each market. In Montreal, we're seeing an increase in demand from technology users and greater diversification among industries represented by touring organizations as more and more employers recognize the importance of offering great workplace experiences to attract, motivate and retain top talent. Tour activity in Q1 was in line with our quarterly average. In Toronto and Kitchener, we are seeing an increase in demand from prospective users with larger space requirements that are greater than 10,000 square feet. Tour activity in the quarter was 21% higher than our quarterly average. In Calgary, there is renewed activity from the oil and gas industry and we're seeing an increase in demand from professional firms that serve the sector. Tour activity in Q1 was in line with our quarterly average. In Vancouver, there has been an influx of new entrants to the market particularly among technology users and professional services. This is resulting in increased tour activity, which was 71% higher in Q1 than our quarterly average. In summary, the composition of our portfolio concentrated in amenity-rich urban neighborhoods coupled with the strength of our operating platform and team as validated by our users through our Net Promoter Score, which in 2023 was 250% higher than our peers gives us tremendous confidence in the continued demand for Allied's distinctive workspace across the country. I'll now turn the call back to Cecilia.
Cecilia Williams: Thanks J.P. Before we open to questions, I want to reiterate my confidence that our portfolio will not only hold up well in this economic environment as it has during past downturns, but ultimately emerge in a stronger position for the following reasons; one, the one of a kind concentration of urban properties we own and operate; two, the intensification potential inherent in our portfolio, which represents continued growth; and three, our team across the country is stronger and better integrated than it's ever been. I know that my fellow Allied team members are energized and focused on executing our strategy and I thank each of them for their hard work, creativity and dedication day in and day out. These two things our one of a kind concentration of properties and our strong team represent our unbeatable operating platform. This is all in the context of our thriving cities, which continue to attract global talent. Our cities are in demand and continue to grow. This growth will lead to demand that we can satisfy and serve. It's time to invest in the future of our cities by investing in Allied and we'd now be pleased to answer any questions.
Operator: [Operator Instructions] Our first question will come from the line of Jonathan Kelcher with TD Cowen. Please go ahead.
Jonathan Kelcher: Thanks. Good morning.
Cecilia Williams: Good morning.
Jonathan Kelcher: The first question Cecilia, I guess just on the, you guys highlighting your rental portfolio and I know you talked a little bit about it. But does that change anything in terms of future projects or what you're doing with the excess density?
Cecilia Williams: No. I mean we've been involved in rental residential development for the last 10 years Jonathan starting with TELUS Sky. I think that was in 2015 and then followed very quickly with 19 Duncan, both of which of course now are either completed or/at completion. So it's really about just identifying the residential density, the intensification potential that we have inherent in our portfolio and that we see that as a complement similar to the retail component of our portfolio. We're not saying that we're going to be changing our focus away from office, but we really do see it as a complement and basically creating our own mixed-use neighborhoods. In the past, we've had to joint venture with partners that had rental residential expertise and now we wouldn't need to do that going forward. We have that expertise ourselves.
Jonathan Kelcher: Okay. That's helpful. And then just switching gears on the leasing front. It sounds like you guys have been very active. At what point does that start to translate into occupancy gains?
Cecilia Williams: It's very hard to predict in this environment. And so I think the outlook that we've given in the press release is a responsible way to address our expectations in this environment. It's we've gotten great feedback from our constituents in terms of how we're laying that out and there's nothing that I have to add to that at this point.
Jonathan Kelcher: Okay. And then, I'll just slide one more in here then. There was no real change to your outlook, I don't think in the press release. And your beginning of the year outlook did that contemplate the Westbank transactions?
Cecilia Williams: It did not contemplate any reorganizations, in that regard. But I think, we gave ourselves enough space that we'll see how things play out, but we're not changing our outlook.
Jonathan Kelcher: Okay. Thanks. I'll turn it back.
Operator: Your next question will come from the line of Mario Saric with Scotiabank. Please go ahead.
Mario Saric: Hi. Good morning. Thank you for taking question. Cecilia, just coming back to occupancy and a comment that you made that you felt that you were at an inflection point and momentum is expected to continue in 2024 was that pertaining to occupancy? Or maybe if you can just provide some more color on what you meant on you being at an inflection point.
Cecilia Williams: We're sticking with the outlook that we gave in our year-end press release dated January 30th. And we have no change to our outlook. We provided color in terms of our expectation of occupancy over the course of 2024. That has not changed.
Mario Saric: Okay. So on the comment on an inflection point, was that related to something outside of occupancy?
Cecilia Williams: No. No. It's just a reflection of how we're feeling about the level of tour activity, and leasing that we have in the pipeline.
Mario Saric: Got it. Okay.
Cecilia Williams: It's really hard to predict timing, Mario. So it's hard for me to say, what's going to land by June 30th, versus what's going to land by September 30th, given that we report on a quarterly basis.
Mario Saric: Okay. How did the 50 basis point quarter-over-quarter decline in economic occupancy in Q1 and 69% tenant retention, during Q1 compare to internal expectations at the start of the year?
Cecilia Williams: They were as we expected.
Mario Saric: Got it. Okay. And then, I think J.P you mentioned that there's a 1.05 million square foot leasing pipeline which is fairly similar to what we've noted in Q4. How much of the 1.05 million square feet relates to the 800,000 square feet that is remaining to expire this year?
J.P. Mackay: About 50%, Mario.
Mario Saric: Okay. Just on the assets held for sale, the disclosed same-asset NOI in Q1 was $1.3 million. Would all of the $130 million of recorded assets held for sale be same property assets?
Nan Mahalingam: Yes, they would, Mario.
Mario Saric: Okay. And then, the $1.3 million for Q1 is it reasonable to just annualize that $1.3 million for a full year NOI?
Nan Mahalingam: Yes. That's approximately correct.
Mario Saric: Okay. My last one, the reported debt to EBITDA came up a little bit quarter-over-quarter. I think Nan you mentioned it may come up a little bit more on the back of the Westbank transaction that closed on April 1st. Do you have a target debt-to-EBITDA in mind? And if so, what kind of time frame should we think about?
Nan Mahalingam: Nothing. We're not disclosing how we expect that to evolve over the next few quarters. We have said that there will be temporary modest upward pressure on those metrics but they will come down over the course of the next 18 months. So we expect to ultimately remain within our targeted ranges.
Mario Saric: Okay. And so can you just remind me what the target range is 18 months or so?
Nan Mahalingam: In the eight times range as it relates to debt-to-EBITDA.
Mario Saric: Perfect. Okay. That' it for me. Thank you.
Nan Mahalingam: Thanks.
Operator: Your next question comes from the line of Lorne Kalmar from Desjardins. Please go ahead.
Lorne Kalmar: Thanks. Good morning everybody. I noticed -- actually sorry let me restart. You mentioned the strong interest for the assets, you're looking to dispose of. Is there a scenario where you look to go beyond the $200 million of dispositions?
Cecilia Williams: Not this year.
Lorne Kalmar: But maybe just to follow on that. Would getting back to that eight times range would you look to pursue additional dispositions, if you're finding to get a little more difficult to do organically?
Cecilia Williams: I mean, we'll consider offers that come our way. The unsolicited offers and expressions of interest that we received have actually been quite intelligent. And so we're open to considering everything. We're targeting $200 million this year. If we are able to do more than that, we're open to that. Not committing to more than that at this stage, but certainly open to it.
Lorne Kalmar: That's fair. And then maybe can you just give a little bit of color on the types of buyers that are coming forward?
Cecilia Williams: It's a mix of foreign buyers and local buyers. But all private.
Lorne Kalmar: All private. Okay. And then I noticed this quarter, you guys, I think, removed the net effective rent disclosure. Can you maybe give us a little color as to the decision or the reason behind that decision? And maybe what the NERs look like on Q1 leasing?
Cecilia Williams: So, I'll answer the first part of your question. We found that the disclosure isn't helpful in terms of our leasing negotiations. And I think we're also the only office issuer in Canada that might be disclosing them. So not helpful to us in leasing, but J.P. can provide an update in terms of the net effective rents realized in Q1.
J.P. Mackay: Yeah. NERs in Q1 were in line with NERs achieved last year.
Lorne Kalmar: Okay. That's very helpful. Thank you, J.P. And then maybe one last quick one for Nan. With the acquisition, the additional 45% of 19 Duncan, what do you expect to be the incremental increase in capitalized interest? Should we sort of think of it as the incremental amount on the construction lines with the additional interest in the property?
Cecilia Williams: Lorne, we'll be reporting on that in Q2 and each quarter going forward as just our normal course of reporting. We're not going to be providing any sort of forecast on those line items.
Lorne Kalmar: Okay. Fair enough. Thank you so much for taking my questions. I'll turn it back.
Cecilia Williams: Thanks.
Operator: Your next question will come from the line of Matt Kornack with National Bank Financial. Please go ahead.
Matt Kornack: Hey, guys. Just quickly on the dispositions. If you look just quarter-over-quarter at the property list, it looks like two of them would have been in Old Port Montreal. But also, we noticed that 810 Saint-Antoine is no longer in the property list. Are you selling some land that would have been kind of suited for more condo development? Is that how should we should read into that? And maybe taking that forward into Toronto, is that something we'd expect to kind of between, call it, Spadina and Church on Adelaide or some of the other residential density that may not be rental appropriate?
Cecilia Williams: On -- and I hope I remember your multipart question. On the three assets that we've identified in Montreal, and I believe we've listed them with the individual addresses. Is that right, Nan?
Nan Mahalingam: Yes.
Cecilia Williams: Yeah. So it does include 810 and we really were focusing on the lower-yielding assets. That site in particular, was already zoned for rental res, but it is a lower yielding asset. So it was something that we were open to considering. We're not looking to dispose of all sites that have rental res potential, but that one was an obvious one for us.
Matt Kornack: Okay. Fair enough. And then on just aggregate CapEx as kind of as opposed to kind of the IPP CapEx. How should we think about that number? It's been around kind of $100 million to $120 million. It was a little higher in Q4, kind of stable this quarter, but the IPP component was lower than last quarter. Can you give us a sense as to kind of -- I'd assume that the aggregate spend should come down as you finish the development assets? Or should we expect that, given the focus on upgrading the portfolio broadly, that maybe more assets fall into the redevelopment bucket going forward?
Cecilia Williams: No. I think the table in the MD&A talks about the remaining cost to complete, so those will be done mostly by the end of 2025. And then upgrade capital going forward would be less than what has been our annual investment over the last few years. It would be a lower level, but we still will be completing upgrade activity.
Matt Kornack: Okay. Accounting wise just sequentially quarter-over-quarter, there was an increase in the amortization of TIs and leasing costs. Is that just because you're bringing more of the development assets in? Or was there anything onetime in nature? I'm just thinking, whether we should straight line that number?
Nan Mahalingam: That's, correct. It's actually the developments that are coming online, with straight-line rent in place and amortization of TIs as well.
Matt Kornack: Okay. And then just lastly, on the distribution, you guys have been firm in your commitment to it. But can you give us a sense as to, how you balance kind of retaining that capital to invest in the portfolio versus paying it out to investors? And maybe, what is your thought on kind of the minimum payout ratio? Or is there a payout ratio in mind? And I know, you're looking longer term, but just your views on the distribution and why sustain it in the context of how high your yield is at this point?
Cecilia Williams: Yes. So, we are absolutely committed to our current level of distribution. I'm an investor. Everyone in the room here with me, is an investor, so we understand how important that is. Ultimately, like over the medium to longer term, we would want that payout ratio to come down to let's call it the 70% range, as a way to your point of retaining more of our lower cost capital, which of course is the capital that we generate internally. And that will just come over time as -- with organic growth and -- and yes, that's something that may be in the medium to longer term would be what we're targeting.
Matt Kornack: Fair enough. I appreciate the color, guys. Thanks.
Cecilia Williams: Thanks.
Operator: Your next question comes from the line of Brad Sturges with Raymond James. Please go ahead.
Q – Brad Sturges: Hi. Good morning. Just to go back to the comment around lease negotiations -- take still taking a long time and then trying to I guess, marry that to the inflection point comment. Has there been any green shoots on whether those time lines are starting to shorten up a bit? Or how should we think about that inflection point in terms of the confidence going forward, in terms of perhaps other green shoots that you're seeing to make that statement?
Cecilia Williams: Yes. The level of tour activity is really the leading indicator for us, Brad. So having those at above-average quarterly levels is, what gives us the confidence and just the continuing dialogue, with prospective users and existing users frankly, and J.P. referred to some of the expansion activity within our portfolio. So the -- I don't -- we'll see, how the time to execute a deal changes for the next couple of quarters. That will be quite telling, but it's really the level of tour activity that gives us the confidence that we're at an inflection point.
Q – Brad Sturges: Okay. That's, helpful. And just on the development pipeline, in terms of what's left to complete just maybe, I've missed it so I apologize, if I did. But just what's the EBITDA -- the annualized EBITDA contribution still left to come online?
Nan Mahalingam: I think we press released that a couple of quarters ago, and it's still in line with that.
Q – Brad Sturges: Okay.
Cecilia Williams: Yes. We refer to the incremental event in the last press release.
Q – Brad Sturges: Okay. Sound good. Thanks all [ph] I’ll pass on the line.
Cecilia Williams: Thanks, Brad
Operator: Your next question comes from the line of Pammi Bir with RBC Capital Markets. Please go ahead.
Q – Pammi Bir: Thanks. Good morning. Interesting comments on the tenant expansions from a leasing standpoint. Can you maybe just provide more color on what's driving that? Are these unique to those assets or are those tenants? Or is just maybe, a bit of a trend that you've seen as maybe return to office picks up?
J.P. Mackay: I think Pammi, it's a function of both growth for the organizations in question, but also the need to expand their footprint to accommodate their employee base as they revert back to an office-centric model, as you referred to.
Q – Pammi Bir: And was that noticeable in any particular region? Or is it across the portfolio?
J.P. Mackay: It was a diversified representation, both type of user as well as geography.
Q – Pammi Bir: Okay. Maybe just coming to 400 West Georgia, can you talk about the tenant interest that you've seen there thus far to -- and maybe any sense of timing to get the balance of that space leased up?
Cecilia Williams: We have three prospective users looking at taking up the remainder of the space there and we're very confident in our ability to meet their needs. So, that is ongoing and we'll provide -- we can provide an update as part of our Q2 conference call.
Pammi Bir: Okay. And sorry Cecilia do you expect maybe to get these deals done this year?
Cecilia Williams: That would be my desire certainly and that's what we're targeting.
Pammi Bir: Okay. Last one for me. Just on the residential leasing at 19 Duncan. Can you just comment on maybe what the rents look like there leasing interest? You did mention that there has been some leasing interest today, I'm curious if you have any sense of maybe the percentage of units that might be committed at this stage? And when do you expect to get that stabilized?
J.P. Mackay: We've just started our leasing program. So, we're encouraged by the amount of interest in activity, although it's likely premature given we've just started to give you any meaningful direction. But we are optimistic with respect to the lease-up over the course of this year. And rents would be representative of the high watermark within the market and comparable to what you would expect for similar product across the city.
Pammi Bir: Got it. Thanks very much J.P. I will turn it back.
Operator: [Operator Instructions] And your next question will come from the line of Mark Rothschild with Canaccord Genuity. Please go ahead.
Mark Rothschild: Thanks. good morning.
Cecilia Williams: Good morning.
Mark Rothschild: Maybe following up on your comments regarding the distribution of the confidence in that. I'm looking at the numbers and trying to reconcile and understand your comments. Obviously organic growth is extremely hard here especially when you consider leasing costs. There is about $1.5 billion of debt maturing between 2025 and 2026. The 2026 maturities are at a very low rate. Obviously we don't know where interest rates are going to be then. How are we to expect the payout ratio to come down considerably or any amount materially over the next few years considering the difficulty in refinancing debt in general on office properties and you have good properties, so you'll be able to access that but the rate is likely to go up. It's hard to have organic growth. It's not clear how much the accretion is from the development completions. How do we get there within the next two, three years?
Cecilia Williams: Well, I don't expect to achieve a 70% payout ratio in the next two or three years certainly that would be our long-term aspiration. We'll look at selling other lower-yielding less strategic assets if we need to. We have a lot of ways that we can address our maturing debt. Our next tranche of debt -- our next bond is April of next year for $200 million. Not something that we're incredibly concerned about given the amount of liquidity that we have and the options that we have at our disposal to address that. So, it's not -- I didn't mean to imply that we were targeting a 70% payout ratio in the next two or three years, that is a longer term aspiration.
Mark Rothschild: Okay. And then to your comments on asset sales, do you believe that if you want to sell considerably more at IFRS NAV that the market would be there to do that?
Cecilia Williams: Yes, I do believe so.
Mark Rothschild: Okay, great.
Cecilia Williams: Yes, the unsolicited expressions of interest support my belief.
Mark Rothschild: But to be clear, that's not something you're pursuing right now?
Cecilia Williams: We're open to -- we're considering everything that comes our way and we're not saying no to anything preemptively. We'll consider all of our options.
Mark Rothschild: Okay. Maybe just last one, this is a small one. But there was a fee paid consulting to a trustee. Is that -- was that a onetime thing? Or is that going to be just a recurring cost? Is this someone who is helping out the REIT?
Cecilia Williams: It's an annual agreement.
Mark Rothschild: Okay. Great. Thank you, so much.
Operator: Your next question will come from the line of Sumayya Syed with CIBC. Please go ahead.
Sumayya Syed: Thanks. Good morning. Just want to revisit the leasing conversations. So it does sound like tour activity is fairly healthy. Just wondering of the portion of tours that aren't converting yet to formal leases I guess what's the reason you're hearing why tenants don't pursue it? Is it pushback on rent? Or is it more so timing? And then if it is timing, what are you hearing that they need to see before they firm up their decisions to lock it down?
Cecilia Williams: It really varies Sumayya and it does depend on just they need to make decisions based on the needs of their business. It certainly isn't based on what we're able to offer them. It's really on a business by -- on a case-by-case basis based on their own business situation.
Sumayya Syed: Okay. And there was good color on I guess expansion trends in your assets. Are you seeing much downsizing activity? And then if so, is there a certain type of user that would be more downsizing oriented?
Cecilia Williams: Not any more or less than we've seen in the past. And so there wasn't anything to highlight there.
Sumayya Syed: Okay.
J.P. Mackay: And Sumayya, I'll just add, we survey our users every year. And you may recall that last year, there were more users in our portfolio that identified and need to expand and contract. So that in addition to what Cecilia just outlined is another data point that gives us confidence that the trend around contraction is diminishing across our portfolio and more and more users are looking to grow.
Sumayya Syed: Okay. That's good color. And lastly just to go back to your comments around your urban rental residential strategy and you talked about expertise you have already in-house. Do you plan to build it out further? And just I guess if you could offer more color around that operating platform that would be helpful.
Cecilia Williams: We don't -- I don't think we need to build it out further. So the answer would be no.
Sumayya Syed: Okay. That's all I had. Thank you, guys.
Cecilia Williams: Thanks, Sumayya.
Operator: We have no further questions at this time. I will turn the call back to management for any closing remarks.
Cecilia Williams: Thanks, Regina, and thank you everyone for joining our Q1 conference call. We'll keep you updated on our progress going forward.
Operator: Ladies and gentlemen, that will conclude today's meeting. Thank you all for joining. You may now disconnect.